Unidentified Company Representative: It is time, so we would like to begin Mercari's FY 2025 second quarter -- sorry about that. We would like to begin FY 2025 second quarter earnings briefing for Mercari. My name is [Kamei Kyoku]. (ph) I'm an announcer, and I'll be the -- your MC today. Thank you for having me. Today, our Executive Officers, VP of Corporate and CFO, Sayaka Eda, will be taking you through the second quarter results of FY 2025. Afterwards, we will have a Q&A session for the media. And the session will end at 4:35. Please refrain from recording today's session in its entirety. Without further ado, Ms. Eda, please go ahead.
Sayaka Eda: Good afternoon. Thank you for taking time out of your busy schedule to attend the earnings briefing for Mercari FY 2025 second quarter. So CFO Eda, myself, will be introducing the earnings results today. First of all, this is our group mission, circulate all forms of value to unleash the potential in all people. So each group, each business is striving to achieve this group mission every day. Now jumping right in to the financial overview; first, starting with the consolidated results. These are the forecasts that we announced at the beginning of the fiscal year. In principle, we want to aim for top line growth that will lead to increased profits. And of course, we want to grow each business, but we want to expand our businesses, centered around group synergy. And also we were expecting a buildup of core operating profit towards the end of the year, so revenue forecast was JPY 200 billion to JPY 210 billion. Core operating profit is JPY 22 billion to JPY 25 billion. With this in mind, the -- here are the second quarter highlights. So we achieved record-breaking consolidated core operating profit of JPY 7 billion, up 79% year-on-year. So we achieved high profitability for all three business pillars, namely market fintech and U.S. Core operating profit grew year-on-year and Q-on-Q. On the other hand, marketplace and U.S., the GMV growth rates for these two businesses fell below our initial expectations. However, they began to improve in the latter half of the second quarter. And we also saw steady progress in high-growth areas that we identified and introduced at the beginning of the year. Working toward sustainable growth in the mid-to-long term, we are prioritizing the establishment of a safer and more secure usage environment across the entire group. Here are the consolidated results for each quarter, as I mentioned before. So the revenue grew by 2% to JPY 49.2 billion. Core operating profit grew 79% year-on-year and landed at JPY 7 billion. This is the second quarter KPI summary. First, starting with marketplace: The GMV was JPY 296 billion, year-on-year growing by 5%. Mercari Hallo, the on-demand work, we are disclosing these performance as part of the marketplace, but we are not charging any usage fee right now, so the GMV does not include any revenues from Mercari Hallo at the moment. And the adjusted core operating margin was 39%. If we exclude Mercari Hallo, investments to Mercari Hallo, the adjusted core operating margin will be 46%. Moving on to fintech. Credit balance year-on-year grew by 38%, landing at JPY 213.3 billion. The core operating profit, we saw three consecutive quarters of profits landing at JPY 1.2 billion. And for the U.S. business, GMV year-on-year, unfortunately, declined significantly by 27% year-on-year, finishing at USD 175 million. On the other hand, core operating profit, we landed at negative JPY 100 million. So we significantly improved the operating losses. Now moving on to each business, I would like to share some color for each business, starting with marketplace. So we wanted to achieve stable growth of the C2C business and also add the cross-border transaction and B2C business. So with all these three businesses, we wanted to aim a GMV growth rate of around 10% year-on-year and adjusted core operating margin of 37% to 42%. So this is the range that we introduced at the beginning of the fiscal year. GMV. October and November, we saw high temperatures, so we didn't see much movement, in these two months, of heavier items, fall/winter items, so GMV was off to a slow start. And we also saw impact from fraudulent use of our services, but we also changed the home screen. And product improvements were made as well in the second quarter, as we introduced at the beginning of the year, so as a result of these efforts, GMV started to grow very positively. So the GMV growth has returned to normal levels in the second half of the quarter. The second box here, Mercari Hallo. We -- there is -- at the end of the year, we see a lot of demand for talent, so for Mercari Hallo, it was a very busy period. And we invested strongly in this service during that time, and we also added expenses for fraudulent use countermeasures. Having said that, the adjusted core operating margin landed at 39%, so we were able to achieve high profitability. In the second half, we will continue to focus on establishing a safe and secure usage environment. And we aim to further improve the user experience. These are the marketplace results for quarter. GMV grew by 5%, landing at JPY 296 billion. And the revenue grew by 2%, landing at JPY 28.9 billion. Moving on to the next page. This is the profitability, adjusted core operating profit and cost composition. These are the results that we saw for this quarter. During the second quarter, we implemented different product initiatives, so let me give you an update. I touched upon the home screen. So we updated the home screen. So when you open up the Mercari app, this is a home page that you will see in the very beginning, but we wanted to make this more attractive so that people will access this app much more frequently. And we wanted to heighten engagement as well. As a result of these efforts, the time spent on the app and number of item views, we've seen very positive results in these indicators. And we also released some new features as well. First one is hassle-free car sales. So within the C2C marketplace, people could buy and sell cars. However when you try to sell cars, you needed to change the title. You needed to check the maintenance. And also sometimes cars are brought -- people who live far away may buy cars, so delivery was also a pain point for our users, so we are partnering with -- we have partnered with other companies to alleviate some of these stresses. And another function is a C2B transaction -- purchase request feature for C2B transactions. So it is a C2C marketplace in principle. However, the products individuals are listing -- we updated the product and added a new feature so that businesses can also purchase these items as well from individuals.
Unidentified Company Representative: Give us a moment, please. Give us a few minutes while we get this back up and running. [Technical Difficulty]
Sayaka Eda: Apologies. If I may continue. On the far right, we have B2C shops function as well. We have been providing this for a while, but we have welcomed new merchants, many new merchants. Especially, a large-scale reuse shop have joined our fold, so we are starting to see a lot of transactions. So we touched upon this when I talked about the consolidated results and the marketplace results, but we want to make sure that we build an even safer and more secure usage environment. Until now, we wanted to continue to achieve mid-to-long-term marketplace growth. And of course, providing an safe and secure environment is of the utmost importance. That is very important to us, but we -- unfortunately, until now, sometimes we weren't able to intervene as much as the users who had these bad experiences, fraudulent experiences wanted. So that provided us an opportunity to realize how we need to intervene and become more involved in disputes, so we are strengthening our support. And we have also provided a -- expanded our user compensation. So we want users to feel safe and secure while they transact on our service. In addition to that, of course we need to eliminate the fraudulent transactions or users, so we are strengthening our partnerships with police and other authorities to prevent these users from using our services. And we are also upgrading our systems so we can provide better monitoring. And through these efforts, we want to offer a better, even safer and more secure usage environment so that our users can have fun shopping on our platform. And last March, we launched our on-demand work business; and we have seen great growth over the last year. In 2025, because we are seeing very positive growth, we are going to end the no fee promotion at the end of March of this year. The second quarter was a very high season for spot work, but because of that, we want to -- we ran TV commercials and held on-demand work trial events, aiming to increase recognition and expand our user base. And also in March, after we released the service in March, we updated various functions. During the second quarter, these are some of the functions that we added. So we launched a new alumni connect feature. And we are also using AI to actually create a job post very easily. And also we have been screening all of the job listings before they are posted, but we are utilizing, we have implemented an AI-powered risk detection system so that safe and secure usage environments can be provided to our Mercari Hallo on-demand work service as well. Moving on to fintech. In terms of the business objective that we introduced at the beginning of the fiscal year, we are going to transition to a phase of continuously increasing profit through steady accumulation of credit balance and aim for core operating profit of JPY 3 billion or higher. The second quarter, we achieved a core operating profit of JPY 1.2 billion as a result of promotion of management with a profit-generating mindset, in addition to a steady growth of credit balance. And we have been expanding our user base, but we want to further increase or enhance our usability so we can further expand our user base. So the credit balance reached JPY 213.3 billion, which is a 38% increase year-on-year. We also have crypto asset business called Mercoin. And you can buy and sell bitcoin and ethereum. And we launched a service that grants Mercari points each month to users who hold ethereum. This is -- these are the quarterly results for fintech and credit business. The credit business is actually leading the growth for fintech, which is something that I have mentioned from 2, 3 years ago, but as you can see from the graph on the right, the credit business is growing very rapidly. And it is leading the growth of the entire fintech business. Moving on to the core operating profit. As I mentioned before, we achieved a core operating profit of JPY 1.2 billion. And if you look at the promotion costs on the right, we're not reining in our marketing spend. We are spending the necessary marketing spend and also achieving -- or increasing our profit. Our collection rates are very high, and we have continued to increase our credit balance as well. Now looking back at the U.S. business. In the beginning of the fiscal year, we said that we will commit to breakeven and aim to get back on the track for growth. Before the second quarter, in September, right, before the second quarter, we changed the service fee paid by buyers from a variable rate to a fixed rate. And last March -- so we changed from the seller fee to the buyer fee in March, but the products and timings, the fee varied. But from the buyer's point of view, they weren't -- they said that it wasn't clear how much they were actually going to pay in the end. So that was one of the pain points that we discovered. And that is why we changed to a fixed rate instead of variable rate. By implementing a fixed rate of 10%, the buyers had to pay more. And so our GMV growth rate slowed to minus 27% year-on-year. And in the third quarter, January of 2025, we implemented a new fee model. And it is only been a little bit less than 1 month since we implemented this change, but we're seeing positive change already. The second point, to break even, as I mentioned from before. For the second quarter, the core operating profit was negative JPY 0.1 billion. So it is dramatically improved. And in December, we booked profits for month of December. So this is not just reining in marketing. We have made structural changes to make sure that we can continuously improve our profitability. And second half onwards, our group CEO, Yamada, will also assume the role of U.S. CEO so that we can get back on track for growth. And of course, at the end of the fiscal year, we want to share with you positive results, but if we do not see positive results, we will consider various options. These are the results for the quarter. GMV, revenue both declined significantly. However, although the top line is dropping, operating profit has -- we were able to improve the operating profit. So this is the U.S. future policies. We are not going to grow -- or improve the situation with new initiatives. We want to reexamine Mercari's value proposition and refine our core product. The second half is -- in the second half, we will be focusing on these two elements. So core product enhancements such as listing and buying experience. And like Japan, we want to address and strengthen measures to address fraudulent use and make sure that it's a safe and secure environment for our users in the U.S. as well. Lastly, this is a guidance that we introduced in -- at the beginning of the year. And this is our thinking after finishing the second quarter. Consolidated basis, in second quarter, we achieved our highest-ever core operating profit. And we continue to -- and we have said that, in the second half, we will see better growth, but of course, the bar is -- set for revenue is high. But we will continue to work on achieving our targets. So first half, reflecting on the first half performance. Of course, it is quite challenging, but we will continue to implement product supplements so that we can achieve our initial targets. And by segment. Marketplace, it's similar to our consolidated views, but of course, GMV growth rate achievement is quite tough. But through product initiatives, we want to of course, continue to grow and aim for a core operating margin of 37% to 42%. So we are committed to achieving this core operating margin. And fintech, we want to also achieve a core operating profit of JPY 3 billion. And U.S., as I mentioned earlier, we would like to continue to improve our core products so that we can get back on the growth trajectory. And we also want to break even. That concludes my explanation of FY 2025 second quarter earnings briefing.
Unidentified Company Representative: Thank you very much. This concludes Mercari's FY 2025 second quarter earnings briefing. Thank you very much for joining us today.
End of Q&A: